Operator: Good morning. My name is Jessa, and I will be your conference operator today. At this time, I would like to welcome everyone to The New York Times Company First Quarter 2016 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Mr. Harlan Toplitzky, Executive Director of Financial Planning and Analysis, you may begin your conference.
Harlan Toplitzky - Executive Director of Financial Planning & Analysis: Thank you and welcome to The New York Times Company's first quarter 2016 earnings conference call. On the call today, we have Mark Thompson, President and Chief Executive Officer; Jim Follo, Executive Vice President and Chief Financial Officer; and Meredith Kopit Levien, Executive Vice President and Chief Revenue Officer. Before we begin, I would like to remind you that management will make forward-looking statements during the course of this call and our actual results could differ materially. Some of the risks and uncertainties that could impact our business are included in our 2015 10-K. In addition, our presentation will include non-GAAP financial measures and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our website, at investors.nytco.com. With that, I will turn the call over to Mark Thompson.
Mark J. T. Thompson - President, Chief Executive Officer & Director: Thanks, Harlan, and good morning, everyone. 2016 is the first year of implementation of our path forward, our new strategic direction for The New York Times Company. As you know, the plan calls for the doubling of our digital revenue. To achieve that, we need to more than double our audience to deepen their engagement and to innovate and develop our digital advertising and subscription models while running our cash-generative print platforms effectively and managing cost tightly across the whole Company. Our big themes are innovation and creativity in storytelling and user experience backed by continued investment in great journalism, audience and digital subscription growth, driven by better use of data and clearer offers and customer journeys. Innovation in digital advertising, where we're seeing great success with branded content and smartphone. International, where we made some important recent announcements and tough mindedness about costs everywhere. The first quarter of 2016 saw all of these themes playing out in the real world. Our audience grew strongly at 113 million unique users in March, our global audience was the largest ever recorded for The Times. The balance of our audience is shifting too. According to comScore, we had 31 million U.S. Millennials consuming Times' journalism on digital in March, 11 million more than the March in the year previous. Audience engagement is growing steadily as well. It's not surprising, then, that this was a very strong quarter for our digital subscription business. We added 67,000 net new digital subscriptions to our news products, the highest number of quarterly adds, since Q4 2012, and a real achievement is our pay model reaches its fifth anniversary. The rate at which we're adding subscriptions is continuing to accelerate. Revenue for our digital news subscription business grew 13% year-over-year. Perhaps this is a good moment to celebrate our other digital subscription business, which is The Times Crossword product. This separate subscription count reached 196,000 in the quarter and since then has succeeded 200,000. Revenue from this business is of course much smaller than for the core, the quarterly total went past $2 million for the first time in Q1. But at 59% growth year-over-year, it too is building strongly. From now on, we will disclose both the separate subscription counts and revenue figures for news and Crossword and the combined totals. The combined digital-only subscription total for the quarter therefore was1,357,000 digital-only subscriptions. We expect this combined number to exceed 1.5 million by year's end. Digital advertising was a more uneven story. Our headline result of roughly flat was a blend of continued success with smartphone, branded content and programmatic. Smartphone, for instance, more than doubled compared to Q1 2015, with pressure on web homepage and other web display. We remain bullish about our strategy, however, and believe that our timely pivot from traditional digital advertising towards branded content and marketing services, video and more seamlessly integrated ad formats on both mobile and desktop will deliver growth in the second half of 2016. Late in the quarter, we bought HelloSociety, a social influencer network and the Company's first acquisition in eight years to add another element to the growing suite of content creation and distribution capabilities we can offer advertisers. Print advertising continues to experience strong secular headwinds and was down 9% in the quarter. Print circulation was down just under 1% year-over-year, though total circulation was up because of success on the digital side. Revenues for the Company as a whole were down 1% for the quarter, while adjusted operating profit was $52 million, down 13% compared to the same quarter last year due to the advertising revenue weakness and the initial impact of investments associated with our path forward. On that topic, during the quarter, we announced our intention to invest more than $50 million over the next three years on exploiting the international digital potential of The New York Times. We've also announced the significant reorganization of the editing and preparation of the International New York Times, our global physical newspaper, to ensure its continued contribution. These two announcements, demonstrating our willingness to invest substantially in digital growth, while applying rigor and realism to the economics of our mature print platforms, illustrate the approach we're taking everywhere. As I noted in our last earnings call, we are fully committed to restoring the Company to adjusted operating profit beyond 2016 and believe that we'll achieve that through a combination of growing digital revenue and a continued focus on costs. We believe there is considerable scope for further savings in the Company and we'll be going after it in the coming months. Encouraging and accelerating progress on digital subscriptions, exciting developments, but more to do on digital advertising, our commitment, not just to build digital revenue, but to manage our cost to defend and grow profitability, those are my headlines this morning, and now, over to Jim.
James M. Follo - Chief Financial Officer & Executive Vice President: Thanks, Mark, and good morning, everyone. As Mark said, the first quarter reflects solid digital subscriber growth, but a challenging advertising environment in both print and digital. Adjusted operating profit declined 13% in the quarter to $52 million, while adjusted diluted earnings per share was $0.10 in the first quarter compared to $0.11 in the prior year. We reported GAAP operating profit of $28 million compared to an operating loss of $11 million for the same period in 2015. Overall, revenues were down 1% in the quarter with weakness in advertising offsetting circulation and other revenue growth. Circulation revenues increased approximately 2% in the quarter with digital-only subscription revenue growth more than offsetting print declines. As Mark mentioned, beginning this quarter, we've begun to report digital subscription revenues from our Crossword product within circulation revenues. Previously, this revenue was recorded in other revenues. With this change, total digital-only subscription revenue accounted for 14% – grew 14% from the same quarter in 2015, to approximately $54 million. On the print circulation side, revenues were down 1% driven by lower single copy revenues. We again implemented a home-delivery price increase at the beginning of 2016, had a rate similar to recent annual increases, and we benefited from this, although higher revenue associated with the new rates were outweighed by overall print volume declines. Advertising revenues were down 7% in the quarter, with print advertising declining 9%, and digital revenue declining 1%. As Mark noted earlier, digital advertising reflected the changing mix of advertising that we've been experiencing over the past several quarters. In the quarter, we saw strong growth in mobile and creative services revenue, while traditional web display advertising was weak. Mobile revenues continue to grow at a rapid rate versus 2015, and now represent approximately 21% of total digital advertising revenues. We did record a small amount of digital advertising revenue in the quarter from our March acquisition of HelloSociety. The lower print advertising revenue was due to declines in The New York Times, while we experienced growth in the International New York Times. In The New York Times, luxury, technology and telecom, and media categories all performed well in the quarter, while entertainment and the financial categories were particularly weak. The growth in the International New York Times was driven mainly by an increase in the luxury category. As usual, we experienced significant month-to-month volatility in advertising revenues, as illustrated by the fact that overall advertising was down 1% in January, down 18% in February and down 1% in March. Both print and digital experienced this volatility. And finally on the revenue side, other revenues are up 1% in the quarter with NYT Live driving that growth. Operating costs remained relatively flat in the quarter, while adjusted operating costs increased 1%. The increase in adjusted operating costs was mainly due to higher spending in advertising, technology and newsroom, which were substantially offset by print production and distribution efficiencies. Non-operating retirement costs were lower, while severance and depreciation and amortization increased. Our focus on reducing legacy costs remains a top priority, while at the same time we'll continue to invest in growing our digital revenue. We continue to focus efforts on our cost structure and while we expect to experience increase in operating costs in 2016, we will begin to make reductions to our structural cost base thereafter. As I said, non-operating retirement costs were down in the quarter to $5 million from $9 million in the prior year, due to a change in the methodology of calculating the discount rate applied to retirement costs. In the quarter, we incurred a loss of $41 million or $20 million after-tax and net of non-controlling interest. This loss resulted from a decision to shut down a paper mill operated by Madison Paper Industries, in which the company has a 40% interest. This loss resulted from severance and other costs recorded in the first quarter by Madison Paper, of which we have recorded our proportionate share. We currently believe that Madison Paper has sufficient existing assets to settle all its obligations when taking into account proceeds from the expected sale of Madison Paper assets, which we anticipate to take place later in the year. Accordingly, we do not expect that we will be required to use any of our cash in the wind down of this investment. Moving to the balance sheet, our cash and marketable securities balance was $874 million at the end of the year – at the end of the quarter, and our debt and capital lease obligations were approximate $432 million. The HelloSociety acquisition was completed late in the quarter with a purchase price of approximately $12 million. The company has repurchased approximately 6.5 million Class A shares for $86 million to-date under our previously-announced $101 million share repurchase authorization. And now let me conclude with our outlook for the second quarter of 2016. Circulation revenues are expected to increase at a rate similar to the first quarter trend, driven by the benefit of our digital subscription revenue growth, partially offset by lower print circulation revenues, despite the impact of the home delivery price increase. We expect approximately 45,000 and 50,000 net digital subscription additions to our news product and approximately 10 million to 15 million net digital subscription additions to our Crossword product.
Mark J. T. Thompson - President, Chief Executive Officer & Director: Thousand, we should say.
James M. Follo - Chief Financial Officer & Executive Vice President: 10,000 to 15,000, all right. Overall advertising revenues were currently – are currently expected decrease at a rate similar to that in the first quarter, with digital advertising revenue expected to be about flat. Other revenues are expected to increase about 10%. And second quarter adjusted operating costs are expected to increase in the low-single digits, while operating costs are expected to increase in the mid-single digits, as we expect to record a restructuring charge of $15 million in the quarter related to the proposed streamlining of our international print operations. And finally, we expect non-operating retirement cost to be approximately $5 million in the second quarter. And with that, we'd be happy to open up for questions.
Operator: Your first question comes from the line of Doug Arthur from Huber Research Partners. Please go ahead.
Douglas Middleton Arthur - Huber Research Partners LLC: Yeah. Thanks. Two questions. I guess, Jim, in terms of your second quarter advertising guide, I mean, January was essentially flat, February down 1% – I'm sorry, March down 1%, February was a real debacle, are you expecting something similar to that in Q2 or how is that setting up sort of month-to-month at this point, I know your visibility is limited. And then second, Meredith, on the digital side, I'm a little surprised on the flat guidance for Q2 to the extent that you have made the comment that project work can move the number quite a bit and that was soft in the first quarter. So, are you expecting a repeat of that in Q2, I'm surprised there's not more upside. Thanks.
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Yeah. Jim, do you want me to go first?
James M. Follo - Chief Financial Officer & Executive Vice President: I'll take the guidance, I mean the guidance is based upon the visibility we have. I'd say, look, April is off to a bit of a slow start. That's embedded in our view...
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Yeah.
James M. Follo - Chief Financial Officer & Executive Vice President: ...of the outlook, I mean we think the May and June numbers will likely be better than April. So, that's the best visibility we have. It continues to be a bit of a choppy market, particularly on the print side.
Mark J. T. Thompson - President, Chief Executive Officer & Director: And it's worth saying, Doug, I mean the – I've said on calls before that at the moment, our guide to month B, looking at month A and expecting...
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Yeah.
Mark J. T. Thompson - President, Chief Executive Officer & Director: ... to be sure that month B is going to follow month A, is not true. And you'll note we adjusted our guidance fairly soon after the last earnings call based on a dramatic switch, which is now reflected in the numbers between February and January, which was followed by a significant bounce back in March. So, I think....
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Yeah.
Mark J. T. Thompson - President, Chief Executive Officer & Director: ...the key – the truth is, this is a pretty volatile market and the main caution is to say that we – not only do we have limited visibility, but the actual needle is moving all over the dial.
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Yeah. I'll say a couple of things about it, Doug. The first one, our digital comp for advertising in Q2 was actually our hardest comp of the year. We grew, I think 14%, 14% and change last year in digital advertising in Q2, and I will say just to your very specific question, I think we're operating in a digital ad business that is broadly in transition, and I think we're pretty well positioned with our strategy and we're confident about it and we're growing mobile, particularly smartphones, very quickly. We are very focused on scaling the branded content business and we have good visibility into the year-long pipeline for that and we're optimistic about it. We're scaling the programmatic business, which I think we'll continue to improve and we're rounding out our marketing services. And we are absolutely expecting growth in the back half of the year. So, we've got pretty good visibility now into four things that represent meaningful change to the business. One is that pipeline for branded content and big branded content deals. The second is our pipeline for projects around virtual reality; the third is our pipeline around sort of broader sponsorships and video; and the fourth is programmatic, which is now, I think it's 18% of the business in Q2 and growing and at that growth that also feels like a more stable.
Douglas Middleton Arthur - Huber Research Partners LLC: Okay. Great. Thank you.
Operator: Your next question comes from the line of Alexia Quadrani from JPMorgan. Please go ahead.
Alexia S. Quadrani - JPMorgan Securities LLC: Thank you. Just sort of digging in a bit more to the digital advertising in the quarter. I guess, how quickly is that shift to mobile, away from desktop sort of is happening? I think you mentioned mobile is down about 21% of digital advertising, has it been a rapid shift? Do you anticipate it to being a sort of a rapid shift? And then just sort of – I mean logistically, it just seems like mobile might be a bit more constrained in terms of the advertising ability, but at the same time, obviously, a great advertising medium. Do you think the opportunity on mobile, potentially, is as great as it has been or was on display? I mean desktop display?
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Sure. And all very good questions. I think our growth in Q4 on mobile and Q1 is consistent. What I will say is, I think we're seeing a great deal more demand in the market for mobile ad solutions and I think we're meeting that demand with far better products and I'll make three specific comments about that. One, in September of last year, we launched flex frames on mobile, which is the name of our larger canvas in-feed ad unit and we've seen real progress selling that directly and the market response to that product has been very, very good. At the end of the first quarter of this year, we launched and we tested and it tested very well video in that product. So I think there's a lot more running room there. And then we're also seeing real uptick in mobile programmatic and programmatic itself is changing. The business is getting more – for us, more direct, less open market and more direct, which gives us some optimism around CPM. So in general, I think broadly we see – we've a lot of optimism around smartphone continuing to be a big part of the growth engine, and we do think that there is still more demand to move to it, and I wouldn't say that it doesn't hold, I think the opportunities will be different from desktop, but sort of could be equally potent. We also see smartphone, real success with our branded content product on smartphone, so the stories themselves are all designed and optimized for mobile experience now and our ability to drive distribution and traffic for branded content on smartphone is working very well.
Mark J. T. Thompson - President, Chief Executive Officer & Director: And you heard me say, Alexia, that smartphone advertising revenue doubled in the quarter, more than – significantly more than doubled, in fact, over the quarter. And we saw really dramatic increases in programmatic year-over-year.
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Yeah.
Mark J. T. Thompson - President, Chief Executive Officer & Director: And in editing and paid post (21:02) year-over-year. So the areas we've been investing and focusing on are growing very rapidly indeed.
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Yeah. And I think the idea of mobile advertising that has video in it is one that's just at the beginning, and I think we have a lot of running room there.
Alexia S. Quadrani - JPMorgan Securities LLC: Okay. Thank you very much.
Operator: Your next question comes from the line of Craig Huber from Huber Research Partners. Please go ahead.
Craig Anthony Huber - Huber Research Partners LLC: Yes, good morning. I've got a few questions. I mean first, I guess I'd be curious to hear, in the first quarter, if you can just break down, if you would, how digital did, the various components for the ad revenues there on a year-over-year basis? However you want to break that down. Particularly I'd like to hear how the traditional display did year-over-year? How poor was that?
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: So, I can definitely talk about – I can do a little more on what we just did in that last answer, but mobile is up 81%, now 22% of all the digital revenue and of that, I think more notable pieces, smartphone is up just inside of a 150%, which is exciting. Video is down a little bit, but that was – that's a moment-in-time issue. We're very optimistic about video for the rest of the year. Programmatic is up 81%, and again, we think that's going to keep growing. We've got new leadership there. We're adding to the team there and the market is certainly moving quite a bit of demand there. And branded content, just the post piece of it is up just inside of a 100%. So very big gains there and I'm quoting on just the actual sort of ad product piece of that; we're also seeing nice growth, although you'll see it more in the numbers in the back half of the year in marketing services around the branded content creative product.
Craig Anthony Huber - Huber Research Partners LLC: What about the traditional digital advertising piece?
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Jim, I'll let you do the numbers, but as Jim and Mark both said we're seeing...
James M. Follo - Chief Financial Officer & Executive Vice President: Yeah, we've not tended to break down that number, but – which still a significant number of the total, but there were some declines in the quarter there, which were the reasons we got to flat was compensated by the growth in the areas that Meredith just said.
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Yeah. And we think all of those areas still have meaningful running room for more growth.
Craig Anthony Huber - Huber Research Partners LLC: And what percentage is the business right now, the traditional display?
Mark J. T. Thompson - President, Chief Executive Officer & Director: When I say traditional display, (23:36)
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Yeah.
James M. Follo - Chief Financial Officer & Executive Vice President: There is a complication, because branded content and the media of branded content plays out on web display as well.
Mark J. T. Thompson - President, Chief Executive Officer & Director: Yeah, it could be 40% to 50%.
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: 40% to 50%, yeah.
Mark J. T. Thompson - President, Chief Executive Officer & Director: The total digital advertising would come from traditional sales.
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Yeah.
Craig Anthony Huber - Huber Research Partners LLC: Okay.
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Banners on article (23:54) yeah.
Craig Anthony Huber - Huber Research Partners LLC: Appreciate that. And if we could maybe switch over to cost, if we could. There's been a decent number of stories recently about, potentially, The New York Times looking at taking out more costs over in Europe and/or here in the States. Can we talk about that a little bit? If that is true, would that help you more at the 2017 timeframe as opposed to this year?
James M. Follo - Chief Financial Officer & Executive Vice President: Yeah, I think that you're probably referring to some of the restructuring that's taken place in our international print operation, which I referred to in my remark. We'll actually take a charge in the second quarter. That charge will be a little bit ahead of when the cost savings will actually be achieved just because of the process in which we have to work through. So, I would be looking more towards 2016 for a decent amount of costs coming out of the print side. Now, Mark mentioned in his comments, and I marked in mine, we're very focused on kind of structural cost issues. We'll be investing throughout this year in areas we think we need to grow, international is an area, we'll need to grow, but underneath that, we still think there is opportunity to areas where we don't think our kind of the growth areas to look at some of the structural cost issues. And we'll continue to do that. I think our history has been good on that, as we said on the last call, we'll see some cost growth this year, but thereafter, we think we're – there's some opportunities to look at some structural cost issues.
Mark J. T. Thompson - President, Chief Executive Officer & Director: That's right, and I'm (25:24) although, we're going to see some quarters where investment means that operating profit is slightly lower than it was last year. I'd say, we're very committed to getting back to growth, and we think that we can do that in part by revenue growth, but also partly by taking a firm look at costs in the U.S. So there is essentially two things going on there. One is something very specific, already announced, already in progress, which is related to making sure that the international physical newspaper remains very high quality, but also remains contribution positive. More broadly, we will be looking at costs in every part of the company to see whether there are, as we believe there is, further scope for cost reductions to defend and grow profitability.
Craig Anthony Huber - Huber Research Partners LLC: And then finally, I have just two quick housekeeping questions. One, for the print circulation volume, what was the daily and Sunday percent change there, year-over-year? And I have one more after.
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Sure. I'll do those. So, daily was down 5.7% and Sunday 3.8% and that is despite a price increase.
Craig Anthony Huber - Huber Research Partners LLC: And my last question, Jim, newsprint, what was the average price (26:42) percent change year-over-year in consumption? And what about overall newsprint cost? Thank you.
James M. Follo - Chief Financial Officer & Executive Vice President: Newsprint costs year-over-year were down; so I think the total raw material cost decline was about $2.4 million, 75% of that was price related. So, on a year-over-year basis, it's down and I'll just quote some RESI numbers, I think the RESI price (27:03) was down year-over-year about 7%. I will say, though, that the trend in the market, beginning part of this year, was increasing newsprint prices. So, while we're still on a year-over-year basis below where we were last year, the trend off of fourth quarter is growth and there's been some recent announcements on price increases, we'll see whether that actually sticks and happens. If it does we see a small increase in those prices kind of mid-year-ish. We'll see how that goes, but for right now, it was a benefit in the quarter as we go deeper into the year, it will become less of a benefit and that's the way we think that thing plays out.
Craig Anthony Huber - Huber Research Partners LLC: Great. Thank you.
Operator: Your next question comes from the line of John Janedis from Jefferies. Please go ahead.
John Janedis - Jefferies LLC: Hi. Thanks. Two questions. One is maybe somewhat related to Alexia's earlier. Just wanted to ask, maybe for Meredith, to what extent do the advertisers or the budgets from digital and print overlap? And then on the digital sub side, I think the first quarter was your best first quarter of ads since the actual rollout back in 2011. And so can you talk about what you're seeing in terms of churn? Has it improved and which offerings are the most popular with the new subs?
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Sure. I'll do the advertising question first, which is to say that we do sell a lot of our big programs across all platforms, so it varies by category. In some categories, print and digital tend to be bought separately. In other categories, they tend to be brought together and around big program. I do think the shift in the market is – marketers are thinking much more holistically about their buy with a particular place. And so over time, there will be fewer sort of separate budgets and more what's my overall spend and how much of it is with The New York Times versus someone else. That's the answer to the first question. On the second question, it was our best quarterly net ads, I think since Q4 2012, and your question with that is, sort of what's underneath that? Happily, we saw improvement in both starts and stops; so starts up, stops down, and we're doing quite a bit of work on the retention side. You're asking about offers, but I'll say as we are doing quite a bit of testing around offers generally and we're getting better at putting better retaining offers in the market, so big part of the retention story is offers that retain better. I don't know if you're asking a more specific question than that, but I would say broadly our deployment of different kinds of offers has improved, and execution in every part of our marketing organization is improving and still has more room to improve, we're still bringing new talent into the team and testing new approaches, and we feel very optimistic about it for the rest of the year.
John Janedis - Jefferies LLC: And maybe just another question on that one, Meredith, is, does that mean the read-through in terms of, say, print to digital budget, is that to the extent that print slows? The correlation to digital slowing is low, and really depends on a specific program and their time?
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: To think about that question, but I think broadly the answer is yes. What I will say is, The Times has a very strong offering sort of anywhere a marketer might have a budget to spend with us. And if they're – if they philosophically are choosing to leave print or for practical reasons choosing to leave print, one of the great things about The Times is we have a very scaled offering in digital, we have scaled offering in mobile. We're building a scaled offering in video, and we have a very strong offering in marketing services. So we have an opportunity, unlike lots of other legacy media companies, we have a very strong opportunity to make up those dollars. So I don't know if that's what you're asking, but...
Mark J. T. Thompson - President, Chief Executive Officer & Director: I think let me also say, I mean, particularly with some of the branded content, where we've done some of the outwork, it felt like large-scale brand building work by major advertising partners, which feels more like a television (31:33) a television-like play, unconnected to the, as it were, any kind of print digital zero sum or...
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Yeah. I do think there is a big strategic question around can you make up the print dollars in digital? And I would say broadly, we have the scale and we are building out the products to do that. I will also say, I think that there is going to be strength in print in particular categories for a long time because those – for those categories, print is still a very meaningful part of the mix. Luxury and culture would be at the top of my list there, but – and we're continuing to re-imagine the product offering in print, so continue to make print relevant to those marketers.
John Janedis - Jefferies LLC: Just on luxury, Meredith, is that category, say, still somewhere in that 10% to 15% range? Or has that moved around?
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: It's bigger than 10% to 15%.
James M. Follo - Chief Financial Officer & Executive Vice President: And we aggregate off a number of categories.
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Yeah.
James M. Follo - Chief Financial Officer & Executive Vice President: But we look at that as 20% plus of our total advertising.
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Yeah, just inside of 20% and if you could even arguably add a few more categories to it that others would consider luxury business.
James M. Follo - Chief Financial Officer & Executive Vice President: It's far and away our largest category.
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Yeah.
John Janedis - Jefferies LLC: Great. Thanks so much.
Operator: Your next question comes from the line of Kannan Venkateshwar from Barclays. Please go ahead.
Kannan Venkateshwar - Barclays Capital, Inc.: Thank you. Just a couple of questions. Jim, on the Madison Paper related write-off, are there other investments, which might lead to some cash impact at some point in of future? And then secondly, when you think about cost, looks like you guys still are – have a lot of room to cut cost. Why not be more aggressive about this process, given that you've been doing this over the last couple of years, and the process still seems ongoing? And then one last question...
James M. Follo - Chief Financial Officer & Executive Vice President: Like we have been pretty aggressive on cost, this is a year where some of that work will be masked by – we're not taking cost out and we're still managing pretty aggressively, but in the face of investing in things like international, you will see cost growth, it's hard to invest ahead of revenues without seeing some impact on cost, we are – we will – we're aggressive, we'll continue to be aggressive, we're very mindful of profitability?
Mark J. T. Thompson - President, Chief Executive Officer & Director: And I think – I mean, any different ways of automation and the arrival of low cost cloud services, I think understanding our business more clearly, developing a more integrated approach to our digital platforms, closer working between the newsroom and the rest of the organization. More effective inter-departmental working across our revenue and digital product design and technology functions all of these things potentially yield savings. And I think – I mean, I think this work is never done to be honest and I mean the business side of The New York Times, I think is already seeing a head count reduction of something like 60%, 65%. So I think a lot has been done, but I think the more we understand our business, the greater clarity we have about the direction, the more scope we have.
James M. Follo - Chief Financial Officer & Executive Vice President: And on your question on investments, I mean we only have one other kind of major joint venture investment that's in a – we own about 49% of a machine in a plant that produces newsprint in Canada. It's actually quite positive cash flow, we've seen – we don't believe there is a scenario in which there would be anything other than cash coming out of that partnership. There are some smaller investments you make that kind of fall below the radar screen and...
Mark J. T. Thompson - President, Chief Executive Officer & Director: Yeah.
James M. Follo - Chief Financial Officer & Executive Vice President: We make those with an eye towards generating a decent return, but they tend to be smaller in scale.
Mark J. T. Thompson - President, Chief Executive Officer & Director: Okay.
James M. Follo - Chief Financial Officer & Executive Vice President: And we don't intend to call them out, because they're generally pretty small.
Mark J. T. Thompson - President, Chief Executive Officer & Director: And of the two paper mill related assets, that we don't expect to have significant cash impact and if there is one, it's more likely to be positive than negative.
James M. Follo - Chief Financial Officer & Executive Vice President: That's right.
Kannan Venkateshwar - Barclays Capital, Inc.: One more follow-up on the revenue side. It looks like Crossword, the Crossword product has some scale now and it still growing fast. Are there other opportunities to – on the product side or something that's already in your other revenue line, which could scale over time, that we should look...
Mark J. T. Thompson - President, Chief Executive Officer & Director: Yes, we – and we are very pleased with Crosswords and we are absolutely exploring whether we can, off the back of Crossword, as it were, grow that business through new Crossword products and potential other word puzzle and other puzzle products. So that in itself, we think, has actually got significant growth. And by the way, at standing to that around 200,000 digital subscribers. This is one of the most popular and successful newspaper-based subscription, digital subscription model in the world, I think.
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: Just on its own.
Mark J. T. Thompson - President, Chief Executive Officer & Director: Just on its own, forget the main news thing. It's one of the most successful subscription models on its own. But in addition, we certainly think that there are other opportunities. We have a very successful cooking app, we've talked about and announced that we're launching some more interesting products, in the broader sense in the lifestyle and features area. We have a television related product and a wellness and fitness product based on our well blog, arriving this year. Cooking is delivering now real scale in terms of total unique users, but also some really striking numbers for engagement. And we will be testing the exploring ways of beginning to use these to drive subscription. We're going to test different models to see what's the best way of doing it, but we absolutely believe that there are bundles of IP that The Times can produce, other brands which The Times already controls, which it can exploit, which potentially can broaden the subscription base. And I think the more we learn about our core new subscription offering and the demand curves and the way the best marketing works to migrate people into subscriptions, the more useful it will be to have a broader based set of different options we can give people to subscribe to.
Kannan Venkateshwar - Barclays Capital, Inc.: All right. Thank you.
Operator: Your next question comes from the line of Doug Arthur from Huber Research Partners. Please go ahead.
Douglas Middleton Arthur - Huber Research Partners LLC: Yes, just two quick follow-ups. Jim, on your share repurchase program, did you say cumulatively you've repurchased 6.5 million since the program began, and it's pretty much done at this point? Is that fair?
James M. Follo - Chief Financial Officer & Executive Vice President: It's not pretty much done. I mean, we're – still got about $16 million left under a $101 million authorization, so the number I gave I quoted something like what was $86 million or so and that's cumulative program to-date.
Douglas Middleton Arthur - Huber Research Partners LLC: Okay. Thank you. And then Meredith, when you talk about a better back half in digital, can you frame that a little bit? Are you – would you be disappointed if it wasn't double-digit in the second half?
Meredith Kopit Levien - Executive Vice President, Chief Revenue Officer: I'll frame it by saying a few things. One, we have easier comps, so I think our growth in the second half of last year in digital advertising was inside of 5%. So, comps get meaningfully easier. And then – and I think I mentioned this before, I'll say, we do have good pipeline visibility into the things we're selling in branded content, in marketing services, in video and in VR. So, we've got some optimism around that. And as I said, programmatic is becoming – it's a bigger and also more predictable part of the business. And I'll mention, we have in the second half of last year, we launched Mobile Moments and the flex frames on mobile. So we improved display advertising on mobile. And we'll be bringing that energy and that sort of re-imagination to the desktop. So, I stand behind the guidance Jim's given generally, but say that we believe in our strategy and we feel optimistic about the back half of the year.
Douglas Middleton Arthur - Huber Research Partners LLC: Great. Thanks.
Operator: There are no further questions at this time. I turn the call back over to Mr. Toplitzky.
Harlan Toplitzky - Executive Director of Financial Planning & Analysis: Thank you for joining us this morning. We look forward to talking to you again next quarter.